Operator: Good day, and welcome to the Logitech Second Quarter Fiscal 2020 Financial Results Conference Call. At this time, all participants are in a listen-only mode. We will be conducting a question-and-answer session and instructions will follow at that time. [Operator Instructions]. This call is being recorded for replay purposes and may not be reproduced in whole or in part without written authorization from Logitech. I’d now like to introduce your host for today's call, Mr. Ben Lu, Head of Investor Relations.
Ben Lu: Thanks, Zack. Welcome to the Logitech conference call to discuss the company's financial results for the second quarter of fiscal year 2020. The press release, our prepared remarks and slides, as well as a live webcast of this call are available online at the Investor Relations page of our Web site, ir.logitech.com. During the course of this call, we may make forward-looking statements including with respect to future operating results that are made under the Safe Harbor of the Securities Litigation Reform Act of 1995. The forward-looking statements involve risks and uncertainties and actual results could differ materially as noted in our quarterly and other filings with SEC. The company undertakes no obligation to update or revise any forward-looking statements as a result of new developments or otherwise. Please note that today’s call will include results reported on a non-GAAP basis. Non-GAAP financial results have inherent limitations and are not meant to be considered in isolation from or as a substitute for or superior to GAAP results. Our press release and slides provide a reconciliation between GAAP and non-GAAP numbers and are posted on our IR Web site. We encourage listeners to review these items. Unless noted otherwise, comparisons between periods are year-over-year and in constant currency. This call is being recorded and will be available for replay on the Logitech Web site. Joining us today from California are Bracken Darrell, President and Chief Executive Officer; and Nate Olmstead, Chief Financial Officer. I’ll now turn the call over to Bracken.
Bracken Darrell: Thank you, Ben, and thanks all of you for joining us. We delivered a solid Q2 with strong execution in what is obviously a volatile time in the world; the U.S.-China trade wars, volatile currencies and Brexit. Those activities are so newsworthy and so noisy that you can temporary lose sight of the more relevant and proportionally bigger long-term trends affecting us. The emergent of content creation is the lifestyle and a career choice by hundreds of millions of people and maybe one day billions. The establishment of gaming as a newer super sport virtually all over the world that will eclipse traditional sports in most dimensions, if not all, and the explosion of video communication from large rooms to small rooms, for phones to homes we’re moving from video calls with the exception to video everywhere in our lives. We have consistently managed our business well and this quarter is no different. We delivered 6% constant currency growth, despite putting through the first widespread U.S. price increases in more than a decade. We improved our gross margins despite tariffs and currency exchange rate headwinds. In fact, we achieved record operating profits for our September quarter despite these factors and regenerated 25% more operating cash flow than the same quarter last year. Performing at this level and marked with that much turmoil could be seen as very good. Since the trade wars began, we've managed through tens of millions of dollars of impact to our business. That’s what you come to expect from us and that’s what we expect of ourselves. Going forward, we will see the impact of new tariffs implemented in September and more projected in December. But again, these types of macroeconomic challenges are a part of why you invest in us, a recession-resistant portfolio of categories and countries and a practice of no excuses. So I would say it’s a solid quarter where we managed our business and operations well despite the challenges. The macro environment is not getting any easier. And like we have done many times in the past, we expect to managed through all of this and deliver our targets. Now let’s dig into the performance of our different categories, many of which tap into these trends. Video collaboration sales grew 60% in Q2 to another record quarter. Our recent innovations Rally, a camera system for large conference rooms and Tap, a one touch controller that enables easy and fast access to meetings are both delivering incremental sales on top of the continued growth we’re seeing from our huddle room MeetUp products. Now because of the enterprise nature of our business, our quarterly sales growth can be uneven at times but I wouldn’t expect the 60% growth rate we just saw this past quarter to continue. Just like we said in prior quarters that the 28% growth rate in Q1 was unusually slow due to the sell-in versus sell-out dynamic of the business. This past quarter’s strong growth is a clear testament to the tremendous market opportunity ahead of us to video enable all the conference rooms in the world. This momentum puts us well on track to achieve the $1 billion VC sales potential that we laid out back in our Analyst Day in March. Last quarter, we announced Sync beta, our device management platform. We’ve had great momentum with close to 100 companies testing and giving us feedback. We’re ahead of the general availability by the end of the year, so stay tuned on that one. We love the videoconferencing business. It got all the things we love in it. Cloud platforms we can enable, the need for regular innovation and great design and a breathtaking market opportunity. In this case, 100 million rooms plus. Our PC peripherals business delivered a solid quarter of 6% growth. Pointing Devices grew 5% with contributions from both existing and new products. Our MX Vertical mouse that was released over year ago continued to grow double digit while our Pebble mouse continues to have great sales in China. It’s doing so well that we’re ramping up distribution of it across the rest of Asia and even into EMEA. Our recently introduced MX Master 3 is a redesigned version of our flagship premium mouse [indiscernible] described as making the best mouse even better. I love that line. In fact, there was even a teardown of the inner workings to the MX Master something you don’t see often for just a humble mouse but something that’s common for devices like the iPhone. This speaks to the technical and engineering appraise that our team has been able to achieve and put into our products. Keyboards & Combo sales increased 7% in Q2, representing the seventh consecutive quarter of growth and with growth from all three regions. Our new slim – our slim profile MX Keys wireless keyboard has received great reviews with PC World giving it an Editor’s Choice Award and calling it easily one of the best wireless keyboards. We also saw great contributions from several other new keyboards that were more limited than their distribution. Let me touch upon this for a moment. One of the important benefits of our diversified product portfolio and our global go-to-market capability is our ability to rollout new products in a limited way to see how they do. If they resonate well with consumers, like the Pebble when it was first launched exclusively in China, then we will expand distribution to other countries. If the product doesn’t do as well as expected, then we’ll keep them in limited distribution. This is one of the ways we can manage the risk of our portfolio. Turning to gaming, Q2 sales were up only 2% similar to the trends we saw last quarter with continued tough comparison in headsets offset by a double-digit growth in all our other gaming products. The headset comparisons remain tough but do get easier as we head into the first half of calendar 2020. So I’d expect the growth momentum in gaming to improve with more normalized compares as we exit this fiscal year. But it’s easy to miss the big picture here and that’s that the underlying gaming market is thriving and sales of several of our new products are too. PRO X headset with Blue VO!CE, our G815 and G915 Wired and LIGHTSPEED Wireless gaming keyboards are all off to a great start. Tablet and other accessories declined 6% this quarter. We maintained strong growth in our education channel offset by a decline in our traditional retail business. As we’d anticipated last quarter, mobile speakers were down 24% in Q2 largely due to the timing of when we launched BOOM 3 and MEGABOOM 3 in Q2 of last year. While the overall mobile speaker market remains soft, conditions appear to be stabilizing somewhat getting incrementally neither worst or better. This provides a more favorable environment for us to continue to innovate across new experiences and products as well as expand into new channels. Overall, we expect our mobile speaker sales to be in line with the forecast we provided at our Analyst Day which call for a slight decline in this fiscal year. Audio and wearables were up 12% with Blue Microphones growing double digits and Jaybird flattish in the quarter. Now let me turn the call over to Nate to walk you through our financial metrics.
Nate Olmstead: Thanks, Bracken. I'm pleased with our overall execution and the financial results we delivered. We grew sales 6% to $720 million and non-GAAP operating profits grew 6% to $89 million. Drilling down further, we grew sales across all regions, gained share in key segments and improved gross and operating margins while investing in our strategic priorities. With regards to our top line performance in Q2, overall growth was unfavorably impacted by approximately 1 point as certain U.S. customers took time to adjust to our recently implemented price increases. We saw pockets of delayed orders in a few product categories as a result of our relatively modest pricing action. Those increases did, however, help offset some of the tariff costs. Moving to margins, our Q2 non-GAAP gross margin improved by 80 basis points to 38.4%, the highest we have achieved since Q4 fiscal '17. Favorable product mix and cost savings initiatives more than offset the unfavorable year-over-year impact from tariffs and currency exchange rates. Now as we look into the back half of our fiscal year, we will see incremental tariff pressures on our gross margins as List 4A tariffs were just implemented on September 1st, so they did not have a material effect on our Q2 financials. I expect about 1 point of margin impact sequentially in Q3 from these new tariffs, net of our ongoing mitigation efforts. Our non-GAAP operating expenses increased 7% to $187 million with sales and marketing up 9% and R&D spend up 6%, as we continue to reinvest gross profit growth back into our business to capture long-term growth opportunities. At the same time, we maintained our G&A spending at around $20 million again this quarter. So with a disciplined investment strategy funded by top line growth combined with favorable product mix, we delivered another quarter of operating margin expansion while marching toward our long-term potential as a company. Now, let me talk briefly about our cash flows. Cash flow from operations was $107 million in Q2, a nice $22 million increase versus the prior year quarter and helped by strong inventory management. Despite our typical inventory build into the holidays, our overall inventory balance declined $20 million versus last year and our inventory turns of 5.3x improved 4.9x a year ago. Our full year cash flows tend to be heavily skewed towards the second half and we are still targeting full year operating cash flow to roughly equal our full year non-GAAP operating profit. In terms of capital allocation, we paid out $124 million in the quarter for our annual dividend, up roughly 10% versus last year. And with that, I’ll turn it back to Bracken.
Bracken Darrell: Thank you, Nate. We just wrapped up a solid first half and are optimistic about the second half of the year as we head into the holidays. So today, we’re confirming sales growth of mid to high-single digits in constant currency and non-GAAP operating income of $375 million to $385 million. Our guidance includes the tariffs that have been implemented to date. And with that, Nate and I are very ready for your questions.
Operator: Certainly. [Operator Instructions]. Asiya Merchant with Citigroup, your line is open.
Asiya Merchant: Good morning, gentlemen, and congratulations on the strong quarter given all the volatility that Bracken talked about. So maybe talk a little bit about as we look into second half, the comps I think get easier but then you talked about all the volatility with recent price increases and the tariffs that are going in as well, so if you could maybe help understand – give some puts and takes as you look into second half easier comps against all this macro and tariffs, how you guys are thinking about it and which categories you feel most confident about as we look in the back half of the fiscal year?
Bracken Darrell: Yes, I’ll jump in first and let Nate add. I think in terms of comps, I think the comp we have in gaming is probably the one that’s going to moderate especially as we enter next fiscal year. We expect to continue to have good performance in our PC business, solid performance in our C&P business and I think in the gaming business will be strong, especially when you net out the effective – the Fortnite effect from last year. Yes, I think the key story as we enter the back half of the year is we’re going to continue to manage against the currency and tariff impacts. And we’re seeing more – as you know more tariffs will be showing up as we exit this fiscal year. That’s not assuming yet that the 4B tariffs come through in late December, so we’ll see on those. And currencies, I would not expect any big change. So, yes, I think – as we go through Q3 and Q4, every quarter is different but I don’t expect the story to be dramatically different. Anything you want to add there, Nate?
Nate Olmstead: No. I think you’re right. Obviously we’re continuing to invest in our VC sales force. We had some great new product launches this last quarter in gaming and we’re seeing continued good performance outside of headsets, but I think you laid it out correctly. So I think the back half of the year really comes down to again just strong execution and focus on the plans that we have and delivering on those.
Asiya Merchant: And then the tariffs impact that you’ve mentioned, Nate, on the gross margins if you can help maybe clarify that more? So you’re expecting 1 point negative impact in net and that is against a favorable product mix still continuing in the back half.
Nate Olmstead: Yes. So if you look sequentially Q2 to Q3, I expect about 1 point of headwind in that sequential compare Q2 to Q3 from the tariffs that were implemented in September. Those really didn’t have an impact on us in Q2 because they occurred later in the quarter. So we’ll see some increased pressure there sequentially Q2 to Q3 from those September tariffs. We have plans obviously to try to mitigate those things, but I do expect to see some of that pressure flow through into the P&L in Q3.
Asiya Merchant: And are you seeing retailers take – how are retailers responding to the price increases? Are they sticking or are they kind of moderating their inventory? And that’s the last one from me. Thank you.
Bracken Darrell: Yes. I’d say so far the – our first round of price increase in the U.S. in over a decade, we saw what you would expect that some of the retailers initially thought of taking in more inventory that affected us a little bit this quarter. But then in the end as the market generally accepted the price increases, those retailers bought and their business started to come back and I think that’s kind of normal in a rising price environment.
Asiya Merchant: Okay. Thank you.
Bracken Darrell: Thank you very much, Asiya.
Operator: Joern Iffert with UBS, your line is open.
Bracken Darrell: Hi, Joern. How are you doing?
Joern Iffert: Hi. Thanks for taking my questions. The first one is please on your guidance when the new list on tariffs is taking place from December, is this now reflected in your guidance or do you have then to reassess your guidance with Q2 results that you will release in January? This will be the first question. Second question is please if I look on your organic sales growth, it seems more or less everything is coming from VC now. Do you expect it to become more balanced over the next 12 to 18 months? And also here a more medium-term question if I look on your historic growth drivers, like it was tablets and it was mobile speaker, then it was gaming. Now it’s VC, but everything slowed down at some point in time. So what makes you confident you really can maintain your high-single digit organic growth guidance in the next one or two years here? And these will be the first questions please. Thanks.
Bracken Darrell: Okay. That’s a good list there, Joern, nice job. So let me jump into the organic sales growth of the balance. We have a portfolio. We love having kind of a broad portfolio both of businesses and also geographies. We’re one of the most globally dispersed companies in the world. We’re also one of the most – we also have a really great balanced portfolio across different regions. So when one category is going through strong growth, others might slow down but then come back. That pattern has repeated itself over and over again across seven, almost eight years that I have been here. And so yes, do I think it will become more balanced over time? Yes, I do, Joern. I think as you go through and look quarter-after-quarter-after-quarter, I think you’ll see more balance in our growth. It will spread out. We had really nice growth in the C&P business this quarter, up 6% in line with the total business and I think it reflects that that business continues to be very strong. And as you said, VC was super strong. Gaming’s a little softer now. That will come back again, especially as you go into next year when the Fortnite effect is over. As you look out a little further, the tablet-mobile speaker dynamic has – we’ve seen this before. We’ve seen different categories slow down, other categories pick up steam. We’re always looking at new categories with both organic and inorganic, so this is all contemplated in our long-term targets of upper single digit growth. So do I expect to be able to continue to deliver that? Yes, I do. In terms of the List 4B tariffs that you talked about in December, we never incorporate those in until they’re officially confirmed, so they’re not reflected on our guidance. Our job is to go in and really try to figure out how can we offset any of those things and we’re certainly looking out now and saying, okay, what’s the take on it, how might we do that; pricing, relocations, straight cost reductions. But so far they’re not in but we’ll certainly be after it if they do get implemented.
Nate Olmstead: Yes, I agree, Bracken. And since they’re being implemented and if they were implemented as I guess currently communicated in middle of December, it would not have an impact really on our Q3 P&L. We may look to pull in some inventory ahead of that to try to offset cost increases, so we may see a little bit of inventory build ahead of that. But otherwise really no P&L impact expected in Q3.
Joern Iffert: Okay, many thanks. And maybe just the last question on M&A. Is it likely that we maybe see really a new growth category you potentially will acquire which can be a similarity to kind of VC or gaming in its early years?
Bracken Darrell: Yes, Joern, we’re always looking at M&A and we’re also always looking organically on new categories. So we’ve got 5 to 10 seeds at a time in development internally that most of which we don’t know about and we don’t share publicly and many of which don’t get out the door over a 6 to 12-month timeframe. So that’s why we don’t share. And in M&A we’re always looking. We’ve always got targets out there and I’m completely dodging your question, so there you go.
Joern Iffert: Thank you.
Bracken Darrell: Thank you, Joern.
Nate Olmstead: Thanks.
Operator: Paul Chung with JPMorgan, your line is open.
Bracken Darrell: Hi, Paul.
Nate Olmstead: Hi, Paul.
Paul Chung: Hi, guys. Thanks for taking my questions. So first on video collaboration, it looks like you’re seeing pretty nice return on expanding your sales team. So where are we in that kind of expansion of your sales force and how should we think about kind of the pace of OpEx spending there? And then secondly, are you starting to see better traction for some of your higher ASP products and how are you kind of gaining share from your existing players there? And then I have a follow up.
Bracken Darrell: Yes, I’d say in terms of what’s our investment in our sales force, where are we, I would view that as a work in progress. We’re going to keep investing and keep building and we’re certainly nowhere near finished, but as you’ve said we made a lot of progress so we feel good about the investments we’re making and we’re going to keep investing. How to put a point in time on that, I’d say it would be hard to say. We’re a certain percentage done because we’re certainly – we view this as a long-term investment trend and we’re going to keep going. In terms of traction on our higher ASP products, we continue to see Rally, for example, had a really strong quarter, so did Tap, both of which are pretty high ASP products and those are medium-size to large huddle rooms and MeetUp continues to do super well too. So I’d say broadly – and by the way all those are really high ASP products for little old Logitech who sells a lot of mice. So we love the whole category and certainly within that subcategory, video collaboration, the higher end products are doing well.
Nate Olmstead: I think on top of that too I’d add just look at some of the customer metrics that we’re now able to track related to that VC business, we are seeing deeper penetration into some of our install based accounts. We’re able to expand and work strategically with them to add some of those higher end products and those larger solutions, so very nice favorable trends in that respect as well.
Paul Chung: Okay, great. And then my last question’s on Streamlabs. So I know you mentioned it’s not going to be material in fiscal year '20. I read somewhere they have around 1.6 million users and 480k mobile users, but can you just help us kind of frame the opportunity here and the rationale behind the acquisition? And then how can you kind of scale that existing user base, what’s the kind of revenue potential and margin impact? And then where your kind of expectations for kind of cross selling some of your existing products? And then lastly, is there a kind of shift in your acquisition strategy? Is there a preference now to kind of find smaller software tuck-ins that are potentially more accretive to gross margins? Thank you.
Bracken Darrell: Thanks, Paul. That’s a great one. Thank you for offering that question because we wanted to talk about it. Yes, we’re super excited about Streamlabs. It’s the first sizable acquisition we’ve done that really has no hardware component at all. And I think – if you say how does that strategically fit into what we’re doing, it’s really a direct hit. If you look at what we’re doing from a broadcasting and streaming perspective, we make the webcams. We now have the microphones, even keyboards and mice that are used by streamers to put themselves out there. And this is the layer that sits between the streamer, between the podcaster and Twitch or any of the other platforms that people are using. So it’s a really, really cool addition to our business in a way for us to expand into services. And as you said, there are millions of people using this platform, so it was really a great opportunity. In terms of cross selling, et cetera; early days. We haven’t even closed the acquisition yet. I hope that happens in the next few days, but we’re just about there, but we’ll see. I think the key is to make sure that business is successful. And I think the way that business is successful is by enabling people to either have that lifestyle experience of streaming or to actually generate some income or revenue or even a job out of it and that’s what those guys are doing today. We want to keep enabling them and their geographic dispersion continues to be an opportunity we think. That’s just the sheer number of people doing them and even as we see other growth opportunities which I won’t get into here. So I’m optimistic about it. I’m excited about it. It’s hard for us to mention. You mentioned it. Yes, the gross margins there are significantly higher than our core business, so that’s pretty cool too. And I think you’ll hear more from us over time on this business and others like it.
Paul Chung: Okay, great.
Bracken Darrell: Thank you, Paul.
Nate Olmstead: Thanks, Paul.
Operator: Jürgen Wagner with Mainfirst Bank, your line is open.
Br: Hi, Jürgen.
Nate Olmstead: Hi, Jürgen.
Jürgen Wagner: Hi. Thank you for taking my questions. You gave us the gross margin hit from the additional tariffs. What would the gross margin impact for the remainder of this fiscal year be from FX if the U.S. dollar versus euro stays where it is today? And a follow-up question on M&A and organic growth. We see that assets with a larger focus on enterprise solutions have become a bit cheaper over the last year or so. At what point would you consider buying into the enterprise space to reaccelerate your organic growth that’s coming down currently? Thank you.
Bracken Darrell: Okay. Let me answer that first and then we can – I’ll let Nate dig into the FX question. We look at a very broad range of targets; categories we’re in today, categories we’re not publicly in today and that would include the enterprise space. We love the enterprise space, as you know. It’s pretty close from our results over the last couple of years that it’s an area we believe in, we’re investing in and we’re learning a lot from and building capability in both from a technology standpoint and also from a go-to-market standpoint. So absolutely we would consider additional M&A in that space. But we continue to be excited about the consumer business. There are more and more spaces we feel that are relevant to us and the latest one we’ve talked about is broadcasting and streaming. So that’s a cool opportunity for us, a little bit like gaming probably was a few years ago and we’re excited about that too. Now as for the FX, you want to jump into that one.
Nate Olmstead: Sure. Jürgen, was your question on gross margin?
Jürgen Wagner: Yes. Sorry.
Nate Olmstead: FX is about $10 million a quarter year-over-year impact for us at current exchange rates.
Jürgen Wagner: Okay. Thank you.
Bracken Darrell: Thank you, Jürgen.
Operator: Ananda Baruah with Loop Capital, your line is open.
Bracken Darrell: Hi, Ananda.
Ananda Baruah: Hi. Good morning, guys. I appreciate you guys taking the question here.
Nate Olmstead: Good morning.
Ananda Baruah: Just a couple from me. Just from a macro perspective, Bracken, you guys – you obviously sound pretty confident about the tempo of the business. You also mentioned when you just opened the call ongoing macro headwinds. Have you seen or experienced – do you feel like you’re experiencing anything incremental over the last 90 days in regards to macro impact? And just in doing the calculation, did it seem that the q-over-q growth sequential revenue growth in September wasn’t as strong as the last couple of years? And so is there anything to that or is that just sort of business, sort of mixed dynamics like that? I have a couple of follow ups too. Thanks.
Bracken Darrell: Okay. I’m going to let Nate respond to the second one. I would say in term of the incremental macro, no, I don’t think there’s anything really significant that you don’t know about them. So the tariff changes are kind of what you expect. I don’t think from a macroeconomic environment we see any real difference over the last 90 days. I think it’s very similar. A lot of people are talking about recession, recession, recession. We view ourselves as kind of a recession-resistant company because of the fact that we really got products that are really relatively low priced and they’re good escapes or good to make you more productive at home or anywhere else you are or they actually help you avoid needing to travel so much and you can save money if you’re a company. So I don’t know whether there will be a recession at some point. Sure, there will be but we feel really good about our business in that context if it were to come.
Nate Olmstead: And I think regarding the seasonality, I think you got to come back to some of the product dynamics with extremely strong gaming growth in the prior year and what that did to sort of disrupt what you might call “typical sequential growth rates.” New product introductions also get into your baseline, so you have some of those impacts. I think this quarter was roughly in line with what we expected again other than we see probably just being a little bit stronger than what we had in our models, but again that somewhat just offsetting Q1 being a little bit slower just because of the timing of sell-in versus sell-out in that business. But I didn’t see anything really sequentially that was surprising to me.
Ananda Baruah: Okay, that’s great and helpful context. And then just moving over to the gaming real quick, you guys – Bracken just bigger picture, you clearly sound as enthusiastic as you have in the past about the market opportunity. Just for fiscal '20 – and you sound sort of enthusiastic about the second half and the ramping into fiscal '21. Just for fiscal '20, do you feel that the market at the Fortnite effect is having a greater impact, just a greater headwind than you anticipated or do you think that you get back up into that forecasted range or at least potential to as we go through the second half of the year?
Bracken Darrell: Well, I think the Fortnite effect was huge, it really was. If you look at any of the quarters we’ve had, when you add the two years ago, it looks like a more normalized growth rate. But it certainly was a big effect. And I’d say it was strong, really strong. The good thing about that is that I always feel like – I always love it when you have a hard compare, because that means you’re going to emerge from that and then the compares get easier. We’re pretty close to that. So I think as we go into fiscal year 2020, I’m excited about the fact that we had that compare this quarter and we won’t have it next year. And as you said, I am really optimistic, Ananda, about the long-term secular growth trend here. I don’t see anything about this that’s not going to continue. We get calls every day or almost every day. Every few days we get calls or letters or somebody is interested in putting their gaming program into a high school or into a university or small college, and I think that bodes well. It just says that the fundamental engineer continues to grow and drive and that young people are coming into gaming as a sport.
Ananda Baruah: Okay, great. And I guess let me ask a bigger picture one, Bracken.
Bracken Darrell: Sure.
Ananda Baruah: Do you feel any differently about the gaming opportunity than you did at the start of this year?
Bracken Darrell: No. No, I really don’t. I feel exactly the same. I think it’s just a great opportunity for us and for a lot of other companies.
Ananda Baruah: Okay, great. I have one last bigger picture strategic question. Sort of Streamlabs is a part that fits into this and just kind of broader unified communications as a service, UCaaS. So as distinct from – a little bit distinct from what took place at Plantronics last year, any way you could give us context around what the potential or the opportunity is to develop more of a service offerings aspect of the portfolio? Streamlabs is a toe in the water there, but services like that could become increasingly very large. UCaaS is obviously a service kind of been oriented. What’s the appetite to kind of dip into that pond as you go forward, whether it’s those or others that we’re not aware of yet as you evolve the model?
Bracken Darrell: Yes. I think from Streamlabs as a consumer service opportunity and Synch is a B2B service opportunity that part of a B2B service opportunity that we’re really starting now where you can actually track and monitor a conference room equipment and conference room activity. We think that’s a place that we can and should be playing. I don’t want to overstep expectations. I think we’re going to do this at the right pace as we build capability both organically and inorganically as you saw with Streamlabs. But I do think building a service opportunity inside of our business on the back of our very strong continued hardware capability is in our future, Ananda, and you can expect more from us there.
Ananda Baruah: Okay, great. I appreciate the context. Thanks a lot, guys.
Bracken Darrell: Thank you.
Operator: Michael Foeth with Vontobel, your line is open.
Bracken Darrell: Hi, Michael.
Michael Foeth: Hi. Good afternoon. A few questions from my side. The first one is regarding your VC business again. Can you maybe comment on how your visibility is on the sales development in VC and how that differs from the rest of your portfolio? And the second question would be maybe if you can give us a general initial comment on how you see channel inventories going into the holiday season? How is it building up? Have you already seen a lot? I think that the sell-in and sell-through data that you’re showing is not suggesting any significant inventory building yet. And then the third and final question would be regarding tariff mitigation measures. You have mentioned price increases obviously, but are there any other specific measures that you have taken during the quarter that you can comment on?
Bracken Darrell: Yes, so let’s go through those. I’m going to let – I’ll let Nate talk about the channel inventory, but I think you generally described it correctly. I don’t think we see a big impact there. In terms of tariff mitigation, we mentioned this before. Within the quarter, we are relocating some manufacturing. We continue to drive our cost very hard down. I’m personally impressed by and I don’t usually pat us on the back in public, but I’m personally impressed by our ability to manage gross margins in the context of both currency and tariffs. So I think we’ve done a really nice job and our team has done a really nice job of relocating the right things and doing it quickly and doing it well so there’s no hiccup in supply. But I think that’s been good. As we said, in July we – in end of July we implemented the first pricing we have in a decade, a very long time in the U.S. We’ve done pricing around different parts of the world, so I don’t want to overstate the difficulty factor there. You know what we’re doing and we’re ready to do it again as we need to. VC visibility, VC does have a little better visibility than our core business in a way because we use sales force like everybody else in the enterprise space and so we have a little better picture of the activity that’s coming. And so that gives us a channel or sort of profile of the way sales are developing. And I think you’ll see – we’ll see that improve. Our ability to look into the future will improve over time as we spend more years in this business. But I’d say it’s a little bit better. And we’re optimistic about that. I think the future of VC is – I’ve probably said enough about that today, but the future of video inside of all companies is bright and by building a sales force, building capability in the go-to-market structure, we’re going to get better and better visibility into where those best opportunities are and exactly what you expect for us quarter-over-quarter. We don’t guide quarter-over-quarter but we have better visibility than we have in the past already.
Michael Foeth: Can you maybe just quantify how many months visibility do you have?
Bracken Darrell: I’d be hesitant to do that. We haven’t talked about that in the past, but I’d say that our visibility is getting better and better as you would expect with more time in the business.
Michael Foeth: All right.
Operator: Tom Forte with D.A. Davidson, your line is open.
Bracken Darrell: Hi, Thomas.
Tom Forte: Thanks for the questions. Just wanted to come back to the gaming business. Can you talk about the product lifecycle in the gaming segment for headsets and other segments in the category and how you’re anticipating the effect of the gaming segment as the new consoles are expected to rollout in the back half of next year? Thank you.
Bracken Darrell: Yes. So first of all, I think the product lifecycle in gaming is faster than obviously it is in our C&P business and we launched several good headsets just recently; the new Pro wireless which is a really, really cool product. And I think you’re going to see a lot more activity in that space and I would expect you’ll continue to see a ramp in activity in all areas of gaming as time goes on, but in particular in the headset space. In terms of the console cycle, I think it remains to be seen. The console refresh are coming. In the past, the console refreshes came with no compatibility to past product. This time that’s different, so I’d say they’re both kind of a good counterweight to the normal trend which would be that you’d have a lower sales rate as a new console comes in. So this time though since you got backward compatibility, I think it may be different. Anyway, the bottom line is I think our overall headset business will improve as we go through especially into the first half of next year and our overall gaming business will improve after we escape from those Fortnite compares.
Tom Forte: Great. I appreciate it.
Bracken Darrell: Thank you.
Operator: [Operator Instructions]. Nehal Chokshi with Maxim Group, your line is open.
Bracken Darrell: Hi, Nehal.
Nehal Chokshi: Hello. How are you doing? Thank you. So nice results and I was wondering of the constant currency growth that you’re seeing, how much of that was due to the price increases that you guys were able to implement successfully?
Bracken Darrell: I’m not sure that I would attribute anything really to the price increases per se. We assumed kind of the elasticity of 1 to 1. It’s probably pretty flat. I’d say the constant currency growth is really just almost purely organic and not related to price increases.
Nate Olmstead: Yes. In fact, as I mentioned earlier, I actually saw about a 1 point unfavorable impact just as some of our customers did delay some purchases and sort of use their existing channel inventories in the quarter. So I think there was actually a little bit of headwind. But as Bracken mentioned, I think the price increase actually went about as we expected and it did help offset some of the cost increase.
Nehal Chokshi: So that 1 point impact that you cite, Nate, that implies in the price elasticity less than 1.0 then?
Nate Olmstead: It varied a lot by product, I would say, based on the magnitude of the price increase and by the different products sold by customer.
Bracken Darrell: But I’ll jump in. I think what Nate was referring to was less about elasticity on pricing and more about channel impact. So you have customers who just don’t buy. They don’t like the look of the new pricing in the beginning. It happens every time we do this anywhere in the world. And then after a period of digestion where the market’s changed, the prices are starting to lift in the market, then they come back in. And so it’s not really an elasticity question. It’s more of a channel inventory temporary impact. And that’s largely on its way to mitigating right out.
Nate Olmstead: And I think it’s also to just the uncertainty sometimes around this tariffs right. It’s in the news quite often as I think you get some customers who may be willing to wait a little bit and see if maybe things will turn in their favor and then they can buy again at lower prices, so lots of dynamics.
Nehal Chokshi: Right, understood. And presuming that the tariffs don’t go away, how long does it usually take for the customers to accept the new prices and say, okay, let’s go ahead and order?
Bracken Darrell: I think most take that right away. There are a few that will slow down or stop buying some products. And then over the 30, 60, 90 days it gets back to normalized buying level and I think we’re on our way there. We’re not quite there yet but probably sometime in Q3 we’ll be 100% there.
Nehal Chokshi: Okay. And then can you actually give a little bit of color as far as what was the magnitude of the price increase to offset the tariffs?
Bracken Darrell: Because of the competitive environment we’re in, I’m a little hesitant to do that in any level, but we didn’t fully reflect tariff pricing in here at all but we put in the level that we thought was reasonable. And I’ll stop at that.
Nehal Chokshi: Understood. All right. So gaming has been flat year-over-year which is actually incredibly impressive given the really tough compares. I think you guys have a pretty good view into what does the installed base actually look like in terms of growth. Could you share your perspective as far as what’s the gaming accessory installed base growth rate over the past six months?
Bracken Darrell: Yes. I’m not sure what the installed base growth rate would be. I think the underlying growth rate though, if you take the headset business out, they’re still growing double digits in all three categories or all the categories of gaming outside of that. So that suggest pretty strongly that the installed base continues to grow around the world and I’m quite sure that it does. And I imagine you can expect that to continue. Now the opportunity, big opportunity right now is the fact that we sold so many headsets and probably first-time gamer headsets last year, but there’s an opportunity to upgrade those headsets over the next couple of years and that’s why we launched premium headsets this year. And I think we’ll start to see those take hold as we go especially into next year, but they’re doing well right out of the gate and that’s probably because there was an opportunity.
Nehal Chokshi: Great. Finally, do you see any signs of channel inventories elevated on the gaming side?
Nate Olmstead: Channel inventories are in good shape heading into the holiday. As Bracken mentioned, we had some sell-in from the new headsets but it was pretty modest. So everything looks clean.
Nehal Chokshi: Great. Thank you very much.
Bracken Darrell: Thank you so much.
Operator: Thank you. It appears there are no further questions. At this time, I will turn the call back over to Mr. Darrell for closing remarks.
Bracken Darrell: Thanks everybody for joining us. It’s an interesting time in the world and it’s an exciting time at Logitech. We will see you after Q3.
Nate Olmstead: Thank you.
Operator: This concludes the Logitech second quarter fiscal 2020 financial results conference call. Thank you for your participation. You may now disconnect.